Operator: Good day, everyone, and welcome to the Jack in the Box, Incorporated First Quarter Fiscal 2016 Earnings Conference Call. Today's call is being broadcast live over the Internet. A replay of the call will be available on the Jack in the Box corporate website starting today. At this time, for opening remarks and introductions, I would like to turn the call over to Carol DiRaimo, Vice President of Investor Relations and Corporate Communications for Jack in the Box. Please go ahead.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Thank you, Sean, and good morning, everyone. Joining me on the call today are Chairman and CEO, Lenny Comma, and Executive Vice President and CFO, Jerry Rebel. During this morning's session we'll review the company's operating results for the first quarter of fiscal 2016 as well as some of the guidance we updated yesterday for the second quarter and fiscal 2016. In our comments this morning, per share amounts refer to diluted earnings per share and operating earnings per share is defined as diluted EPS from continuing operations on a GAAP basis, excluding restructuring charges and gains or losses from refranchising. Following today's presentation, we'll take questions from the financial community. Please be advised that during the course of our presentation and our question-and-answer session today, we may make forward-looking statements that reflect management's expectations for the future which are based on current information. Actual results may differ materially from these expectations based on risks to the business. The Safe Harbor statement in yesterday's news release and the cautionary statement that accompanies the most recent Form 10-K are considered a part of this conference call. Material risk factors as well as information relating to company operations are detailed in our most recent 10-K, 10-Q and other public documents filed with the SEC. These documents are available on the Investors section of our website at www.jackinthebox.com. A few calendar items to note. Jack in the Box management will be attending the UBS Global Consumer Conference in Boston on March 9, and the Bank of America Merrill Lynch Consumer and Retail Conference in New York on March 15. Our second quarter ends on April 10 and we tentatively plan to announce results on Wednesday, May 11 after market close. Our conference call is tentatively scheduled to be held at 8:30 a.m. Pacific Time on Thursday, May 12. As a reminder, we'll be hosting an investor and analyst meeting on May 24 and May 25 in Kansas City. We'll provide more details as the date nears, but if you did not receive the save-the-date email we sent out previously, please contact me. With that, I'll turn the call over to Lenny.
Leonard A. Comma - Chairman & Chief Executive Officer: Thank you, Carol, and good morning, everyone. I'd like to use my time this morning to address what happened in the first quarter and discuss some of the broader strategic initiatives we're pursuing to drive profitable sales growth and long-term brand loyalty at both Jack in the Box and Qdoba. Let's start with Jack in the Box and why we weren't as aggressive as we could have been. In our pursuit to improve quality across a huge cross-section of our menu, we focused our field operations and marketing teams on the launch of what we referred to as the Declaration of Delicious, which we kicked off on Super Bowl Sunday. I'll say more about that in a moment, but the major takeaway is that we chose to focus on this effort and not to promote value deals to the same degree as quarter one last year. Although we stand behind our decision to invest in long-term quality improvements, we paid the price in the quarter as we struggled to roll over last year's two for $3.50 breakfast croissant promotion. Additionally, we experienced the effects of both the heightened competitive focus on value and the impact of McDonald's all-day breakfast, primarily between the hours of 10:30 a.m. to noon. In recent quarters including quarter one, you've seen us move away from discounting and heavy promotion of our value offerings as we focused on improving the quality of our burgers, drinks and fries. We're not willing to sacrifice profitability for the company or our franchisees by promoting low-margin deals that are not sustainable, but you can expect us to adjust the balance of value and quality-related messages in the future as we respond to the competitive environment. Moving past quarter one, I'd like to discuss some of the longer-term strategic initiatives for the Jack in the Box brand. Extensive consumer research we conducted in FY 2014 told us that consumers would reward us for serving better burgers, and they have. Last year we hit a home run with our new Buttery Jack platform and we're just now beginning to roll over some of the high sales numbers we saw when we introduced the first two burgers in that line. Our guests are recognizing us for upgrading the quality of our burgers, according to our proprietary research. When fiscal 2016 got underway, our operations teams began focusing on a major initiative that we believe will continue the upward trends we've seen in guest perceptions around quality. And at the end of January, when we launched the Declaration of Delicious initiative, we improved the quality of 29 burgers, sandwiches and breakfast items. That's over 50% of the products in those three categories. We knew this would be a huge undertaking, but we believe well worth it. As I stated earlier, we introduced our Declaration of Delicious initiative during the Super Bowl and are now supporting it with a robust multi-media campaign. New menu boards have been installed across our system to highlight improvements, like our new toasted buttery bakery buns and other ingredients that signify freshness. Key to the initiative is driving trial. Recognizing that putting food in people's mouth is the best way to convince customers that our burgers are better, we announced on Super Bowl Sunday and via social media that we were giving away up to 1 million burgers with no purchase required. How confident are we that guests will notice a difference? When we tested those upgraded products at more than 300 restaurants in two major markets, we saw a two-to-one preference for the new builds versus the previous one. We believe these menu changes are right in line with our strategy of introducing higher-quality, more crave-able food, which we believe is the best way to drive profitable sales growth and brand loyalty. To that end, we are encouraged by the steady sequential improvement in two-year sales trends we've seen in each of the first five periods of the year. Now let's take a look at the Qdoba brand. First quarter sales were strong on top of double-digit comparisons, although earnings were hampered by lower than expected margins and some non-repetitive costs. Over the last two years, we've been transitioning away from some of the more value and discount oriented deals that we've featured in the past to promotions more focused on freedom of choice and mouthwatering flavors. Last year, we rolled out a new pricing structure and became the only major fast casual Mexican brand that doesn't nickel-and-dime its guests by charging extra for things like our hand-smashed guacamole or queso. In 2016, we expect to continue driving sales and transactions with a combination of great new products and enhanced communication. A great example of that is the new Knockout Tacos platform we introduced in late October. To promote Knockout Tacos, we increased our advertising support, which generated both trial and traffic growth. Also expect us to continue leveraging some of the existing equities that we have on our menu to create line extensions and LTOs that we believe will further drive sales. Speaking of existing equities, one of our most crave-able items is Mexican Gumbo, but that name has been a bit confusing to our guests, so we're reintroducing it this quarter as Loaded Tortilla Soup, a piping hot option that guests can load with their choice of meats, rice, beans and flavors like sour cream, 3-Cheese Queso and of course, our hand-smashed guacamole, all loaded into a crunchy, edible tortilla bowl. We believe that the change in name, freedom to add flavorful ingredients and the new edible tortilla bowl will be a much better presentation and product for our guests to enjoy. As a continuation of the marketing test we mentioned to you last quarter, we will further evaluate television advertising with the on-air promotion of our Loaded Tortilla Soup. You can view the commercial by linking to the home page of Qdoba's website. Last year we began testing various design elements at new company restaurants and more recently at franchise locations. We've also begun testing remodels that feature various components of the redesign. We expect to finalize the restaurant designs this quarter and release them to the system. The approved designs for both new construction and remodels will have multiple options. Think of them as a palette or kit of parts so that each restaurant can be unique, yet still similar enough that the guests know it's the same brand. All of these initiatives are designed to increase sales, traffic and the unit growth as we drive brand awareness. Before turning the call over to Jerry, I want to reiterate my disappointment in our performance for the first quarter and emphasize that we hold ourselves accountable for delivering results. Furthermore, as we have discussed previously, we've been evaluating various levers to enhance shareholder value. At our May investor meeting in Kansas City we'll discuss our long-term strategies to grow sales and expand both brands. In the meantime, we have made a couple of key decisions, including plans to increase Jack in the Box franchise ownership to at least 90% and reduce G&A to approximately 3% of consolidated system-wide sales. We're targeting completion of these initiatives over the next two years. We will share more specifics at the meeting, including the potential implications of these changes to our capital structure. On that note, I'll turn the call over to Jerry for a more detailed look at the first quarter and our outlook for the remainder of 2016. Jerry?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: Thank you, Lenny, and good morning. Operating EPS was flat in Q1 as margin expansion at Jack in the Box offset lower than expected sales at the brand, while sales and traffic growth at Qdoba were offset by lower than expected margins and some non-repetitive costs. For Jack in the Box, the 0.5% increase in company same-store sales was comprised of mixed benefits of 0.6% and pricing of approximately 2.8%, offset in part by a 2.9% decline in transactions. Transactions were most negative at the breakfast and lunch day parts, driven by the rollover of the very successful two for $3.50 croissant promotion in the prior year, as well as McDonald's launch of all-day breakfast. In addition, heightened competitive discounting in the latter part of the quarter hurt our results. Despite sales being below our expectations, Jack in the Box restaurant margins increased by 150 basis points compared to last year, offsetting the impact of sales that were lower than our expectations. For Qdoba, Q1 same-store sales increased 1.8% system-wide. The 1.5% increase in company same-store sales included transaction growth of 1.3%, a 0.8% decline in the average check, and catering contributed 1%, driven by 14% sales growth. Qdoba margins were negatively impacted in Q1 by some labor staffing issues, which we are addressing. In addition, a greater number of new openings in the last two quarters affected margins, but we are pleased with the new store sales volumes we are experiencing. Favorable commodity costs helped margins and we expect that to continue for the balance of the year. We now expect commodity deflation of approximately 2% at Jack in the Box versus our prior guidance of 1% inflation. We also expect deflation of roughly 4% at Qdoba versus our prior guidance of approximately 3%. The biggest drivers of our improved outlook are lower beef and egg prices. Given the annuity-like cash flows our business model generates and the greater flexibility of our new credit facility, we remain committed to returning cash to shareholders. We repurchased $100 million of stock during the quarter and now have $200 million available under current board authorizations. Our outstanding shares decreased by more than 9% versus last year's first quarter, which will continue to contribute to our EPS growth. I think we covered the rest of the comparisons to last year in the press release, so I won't repeat them here. But here's our current thinking on guidance for other key items for the balance of the year. Our Q2 sales guidance for Jack in the Box ranges from approximately down 3% to flat at company restaurants versus a 7.4% increase in the year-ago quarter. The low end of guidance for the second quarter reflects trends through the first four weeks compared to the same period of the prior year, when sales growth exceeded 10%. Our Q2 sales guidance for Qdoba ranges from approximately flat to up 3% at company restaurants versus a 7% increase in the year-ago quarter. Excluding the first week of the current quarter, which was negatively impacted by weather and was down 10%, sales trends are tracking at the low end of the guidance range compared to the first four weeks of the prior year, when sales growth exceeded 14%. The only changes we made to our full-year guidance other than commodities were as follows: we lowered our full-year same-store sales guidance for Jack in the Box company restaurants to 1% to 2% and for Qdoba company restaurants to 2% to 3%, reflecting our performance in Q1 and our outlook for Q2. Based on our lower same-store sales expectations offset in part by lower commodities and additional share repurchases, we now expect operating earnings per share to range from $3.50 to $3.63 in fiscal 2016 compared to $3 in fiscal 2015. We plan on providing updated long-term goals at the May Investor and Analyst Meeting, including the impact of our plan to increase Jack in the Box franchise ownership to at least 90% and our plan to reduce overhead down to 3% of system-wide sales. That concludes our prepared remarks. I'd now like to turn the call over to the operator to open it up for questions. Sean?
Operator: Thank you, sir. Our first question is from Joe Buckley. Sir, your line's open. You may begin.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Hello?
Joseph Terrence Buckley - Bank of America Merrill Lynch: Hi. It's Joe Buckley. Can you hear me?
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: We can.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Hi. Sorry about that, I had myself on mute. I wanted to ask a question on the value front. You mentioned the mismatch in the first quarter, the negative mismatch. How does it look for the balance of the year? Are you adjusting upward the value component of your message based on the current environment?
Leonard A. Comma - Chairman & Chief Executive Officer: Yeah. So, Joe, first off, just looking back on the first quarter, when we gave guidance, we were within the range, and we did expect with some of the promotional activity at the end of the quarter that we'd be able to stay there, but what we saw happen was the competitive input environment just got even worse for us in the back half of the quarter. And our promotions were not as aggressive as the prior year same quarter, so that came back to bite us. So as we look forward now through quarter two, back half of quarter two and also into quarters three and four, you can expect us to essentially get in that game a lot more aggressively. We just don't have a choice with what's going on out there. But at the same time that we're doing that, I also want folks to recognize that Jack in the Box has placed some big bets on the long-term play, which is really investing in quality. So we're not going to back away from that while we play the discount game. If we could have it our way, it would be mostly a focus on quality. But we won't be able to control that, so we're going to compete a little more aggressively here going forward. But I do think it's worth recognizing the two-year trend that I mentioned in my script because at the end of the day, we are seeing some favorable things associated with what we're implementing strategically, which is more of a long-term play. But in the short term, what the investors can bank on is that we will get significantly more aggressive on the discounting side to be competitive.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Was the coupon promotion with the new menu launch in your plans originally or was that somewhat of a reaction to the environment?
Leonard A. Comma - Chairman & Chief Executive Officer: I think what you'd see is everything that's happened early in Q2 was planned and the things that happened mid-Q2 and at the end of Q2 are reactionary.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Okay. And just one more question. How did you do with coupons? Did you see good redemption? Do you share the comps for the first four weeks but presumably that includes the effect of the coupons which would be some traffic without sales or traffic with side item sales only, presumably?
Leonard A. Comma - Chairman & Chief Executive Officer: Yeah. So maybe Jerry and I can both talk about this. What I would say first off is that between the television ad and the social media work that our marketing teams did, we generated a significant amount of interest in the Million Burger Giveaway. So we feel like from the standpoint of us cutting through the clutter of all the advertising out there, we were very successful on that front and generated a significant amount of trial. So from that standpoint we feel like it was a huge success and Jerry can take you through some of the numbers.
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: Yeah, Joe. So the total redemptions as a percentage of weekly transactions since this was launched on Super Bowl Sunday are 6.1%. So a significant amount of the transactions are there. What that did to the average check, if you look at the redemptions which did not require a purchase along with it, the average check on those redemptions was $1.76 versus the normal average check which would be about $7.50. So almost a $6 delta on that which certainly hurt same-store sales, which is reflected in the lower guidance range of down 3%, which is where we're currently tracking. But I think it drove exactly what we wanted it to do which is to put the new improved burgers in a lot of people's mouths. So I don't – you know, we're not disappointed with that at all. Now we want to see if they come back time and time again for the new improved burgers.
Joseph Terrence Buckley - Bank of America Merrill Lynch: Okay. That's helpful. Thank you.
Operator: Thank you, sir. For the next question, this is coming from the line of Mr. Brian Bittner. Your line is open. You may begin.
Brian J. Bittner - Oppenheimer & Co., Inc. (Broker): Thanks. Thanks very much. I know you'll give us more context around the refranchising activity that you announced in May. But will you be able to achieve this in a way where it is not a headwind to earnings and EBITDA? And secondarily to that, when you talk about your new G&A target, does this assume just core G&A reductions or is this also taking into account the advertising expenses that go away as you sell company-owned stores?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: Yeah. So Brian let me give a little color. And I don't really think I could talk about refranchising without talking about the G&A, so I'll talk about them together. The last part of your question first; the G&A reduction targets have nothing to do with the advertising that will shift over to the franchisees once we refranchise. So this is just pure cost outside of advertising that we would plan to take out. When you look at holistically the refranchising and the G&A reduction along with share repurchases we would expect for that to be well accretive to operating EPS. We'll provide a bit more detail on the impact to EBITDA, be it somewhat negative or positive, in the May meeting, as a lot of that will be determined on exactly which restaurants we decide to sell and at what price and at what royalty rates, and so some of that is yet to be determined. But one of the things that we are looking at with the refranchising transactions is perhaps a little different than what we have done in the past, is we're looking to sell restaurants to either existing or new franchisees who have a willingness and ability and a wherewithal to be able to grow new units, and we fully intend to include development agreements for new restaurant growth into these transactions, which we weren't very successful at doing in the prior tranches of refranchising. And then clearly we'll look at geographic considerations and G&A efficiencies there also.
Brian J. Bittner - Oppenheimer & Co., Inc. (Broker): Okay.
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: On the – let me just make one more comment about the G&A piece, is the G&A that we're targeting, for every 10 basis points worth of reduced G&A as a percent of system-wide sales, it's about $4.4 million, or about $0.08 a share. And I know I was reading a bunch of notes this morning that seemed to be perhaps a little confusion with perhaps how we communicated that yesterday. So I wanted to just lay that out there directly. These are significant reductions in our overall cost structure which the G&A reductions by itself will obviously have a significant impact on EPS going forward as well as EBITDA going forward, with respect to that.
Brian J. Bittner - Oppenheimer & Co., Inc. (Broker): That makes sense. And following-up on that, why did your 2016 EPS guidance come down by such a small amount? You had flat earnings in the first quarter, lower sales trends going forward than you're expecting. I would have expected it come down a little bit more. Is that all related to the lower commodity outlook? Or are you including some of these G&A reductions and pulling them into 2016 guidance?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: No. Great question. And let me give a little clarity there. So the fairly minor reduction in our guidance is fueled by a couple things. One is our first half of the year in terms of our expectations weren't perhaps as high as the Street may have had in their expectations. So I know we missed $0.10 versus the Street consensus. We didn't miss our budget by that amount. So we headed a little toward the back-end loaded anyway, in large part because our last year's fourth quarter was fairly soft. In addition to that, or I guess on the other side, the other components of the improved margin, or excuse me, of the EPS guidance are lower commodity costs, the correction to what happened on the controllable aspects of the Qdoba margin in Q1, specifically around payroll and some other restaurant-level controllables, and then also share buybacks, which we had in our plan, which we plan to do a bit more of, and obviously we are buying them at lower share prices than what we had originally initially intended to do. So I think all those things considered are baked into the fairly modest reduction in EPS guidance for the year.
Brian J. Bittner - Oppenheimer & Co., Inc. (Broker): Okay. Thanks.
Operator: Thank you, sir. Next question on queue coming from the line of Mr. David Tarantino. Your line's open. You may begin.
David E. Tarantino - Robert W. Baird & Co., Inc. (Broker): Hi. Good morning. My question's on the refranchising strategy and I guess, Jerry, I think the message that you've been giving over the past year or so is that selling additional Jack in the Box units would not be accretive to profitability, and therefore, wasn't interesting to you. And now we're hearing that you're planning to do it. So I guess the question I have is what changed in your mind or what is the kind of philosophical difference between how you're looking at it today versus maybe how you've looked at it over the past year or so?
Leonard A. Comma - Chairman & Chief Executive Officer: Hey, David. This is Lenny, and I'm sure Jerry will have some feedback for you on that question, but I just wanted to reiterate what we have been saying about the refranchising effort. We've consistently said that we would refranchise additional restaurants if they would be accretive. So when we evaluate what we can do, all things considered, including our G&A, the picture starts to get a lot brighter for us and potentially puts us in a place where our earnings going forward have a lot less volatility. So if you look at this thing holistically it starts to look like a very, very good thing for us to do.
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: And then, David, when you look at, say, refranchising at the average unit volume that our company restaurants are currently achieving in the, call it, 1.8 to 1.9 level with 20% to 21% margins, those probably would not be accretive. But if you break our 400-plus company-operated units into some quartiles of performance and you look at those first two quartiles, or the lower-performing two quartiles, there are restaurants in there, particularly in that first quartile and half of the second quartile, that get much more attractive for us to refranchise. And then combined with the G&A reductions that Lenny described, can make these things be accretive or certainly be much more close to accretive when you consider repurchasing some stock with the proceeds.
David E. Tarantino - Robert W. Baird & Co., Inc. (Broker): Got it. That's helpful. And then maybe a point of clarification on the G&A reductions. Are those tied specifically to the refranchising effort? In other words, are there not G&A savings that can be accomplished without the refranchising effort, or are the two interconnected?
Leonard A. Comma - Chairman & Chief Executive Officer: David, when we look at the refranchising effort and G&A, there are obviously some direct G&A implications associated with refranchising. However, there's a significant amount of G&A reductions that are actually targeted beyond what would be directly associated with refranchising. So this really comes down to us looking at the corporate overhead as a major place where we're going to have to bring down costs.
David E. Tarantino - Robert W. Baird & Co., Inc. (Broker): Got it. Thank you very much.
Operator: Thank you, sir. Next question on queue is coming from the line of Mr. Chris O'Cull. Your line's open and you may begin.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Thanks. My question relates to refranchising. Jerry, in the past, you guys have really focused on the return analysis based on cash flows rather than earnings per share when you evaluate these transactions. Is it safe to assume that you still view free cash flow per share accretion as part of the metric when you decide whether to sell these stores to franchisees?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: Yeah, Chris, there's no question about that. We certainly have that as part of the consideration set. And we have ongoing maintenance CapEx every year for these restaurants, that'll go away. And then any future remodels that would come in, that would also go away with that. So we would certainly expect these transactions to be free cash flow positive going forward.
Chris O'Cull - KeyBanc Capital Markets, Inc.: And historically they've been EBITDA accretive, if I remember right. I'm just trying to figure out why this would not be accretive to EBITDA or what's changed that could prevent it from being that.
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: Yeah. Great question. Some of, particularly, Chris, the more recent locations were in the Southeast and some of the much lower performing units. So it was fairly easy to get those to be EBITDA accretive. These will be a bit more difficult to do that because they're not performing at that level that some of those later transactions were. But I think when we get through the full analysis and identify all of the packages of restaurants that we would assemble, we'll have more information for you on that in the May meeting. But we're not targeting these things to be dilutive overall.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Okay. And then just one last one. In the quarter, SG&A was 14% of revenue. I'm trying to figure out how do you get to the 13% to 13.5% target for the year?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: Sure. Great question. You're looking at Qdoba's advertising was about $2.1 million higher in this year's quarter, as they were rolling out some of the TV advertising. They also had some direct mail out there. So that's just the shift in that. And then remember also, we had mark-to-market unfavorable compares of $800,000 compared to last year and it cost us $1 million within this year. And then Qdoba also had a brand conference that was in our budget for Q1 this year that obviously will not continue going forward. And that was about $800,000 that was in the G&A. Those things will not continue going forward. In fact, the advertising timing will actually go the other way for us.
Chris O'Cull - KeyBanc Capital Markets, Inc.: Okay. Thanks.
Operator: Thank you, sir. Next question on queue is coming from the line of Mr. Jeffrey Bernstein. Your line is open. You may begin.
Jeffrey A. Bernstein - Barclays Capital, Inc.: Great. Thank you very much. Two questions. Just one, as we think about the comps going for the rest of the year for the core Jack brand, presumably we're talking negative in the first half. Just trying to get maybe somewhat of a qualitative feel for your confidence in actually still achieving the 1% to 2% for fiscal 2016. I say that when I reflect on the fact that you're still lapping the mid-single digit comps the rest of the year. And then in terms of the factors that really hurt you thus far, it's still hard to tell how low on the QSR competitive discount is going to last. It's still kind of hard to see whether your breakfast business will take back the share with the promotion you're running and still early to read on the menu upgrades. I'm just wondering what gives you the confidence to assume that the softness that ensued of late that you can reverse that in the back half of this year?
Leonard A. Comma - Chairman & Chief Executive Officer: Jeff, I think a couple of things. One, keep in mind we've got a pretty big franchise system. And I think early in the year, the franchise sentiment about our performance was quite good as compared to the competitors when you looked at their comps. And as they've seen some of the competitive activity start to impact them as well, as we have with our company operations, you have a greater appetite across the entire organization to be aggressive in the marketplace with the offers that we think will combat all the discounting that's going on. So I think in the back half of the year, you can expect more of that activity. But the other side of it, which is the bigger bet and this is where obviously we have some risk, but it's a risk we think is worth taking, is that we have upgraded 29 items on the menu and made them significantly better than they were. In fact, two-to-one liking for the consumer as compared to the old products. And we do expect to get some traction with those products in the back half of the year. So if you look at all that we've done in the first half of the year, you can essentially bring the Super Bowl launch as sort of the kick off point. And you can essentially see that February, March and April we will do a lot to put food in people's mouths, whether through the Million Burger Giveaway, couponing or aggressive deals that we'll have throughout this quarter that again are focused on the products where we've improved quality. We would expect as we get past that focus here that folks would have a much higher take rate on those products going forward and we would get some more traffic out of that. So that combined with the aggressive discounting that we'll need to do to stay competitive is what gives us confidence.
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: Jeff, one other item is that while we have been certainly disappointed with the Q1 sales, if you look at the core periods in Q1 and the first four weeks in Q2, we have seen a steady acceleration in our two-year trends period-to-period here. So I think that also gives us some comfort that we are heading in the right direction here.
Jeffrey A. Bernstein - Barclays Capital, Inc.: Understood. And then just specific to breakfast, I was wondering if you could talk a little bit about – and it seems like now this quarter you're going to do a promotion to presumably take back some lost share. Are you concerned that maybe some of the traffic doesn't come back because maybe consumers have found an alternative and, therefore, you wouldn't make back your full share? Or how do you think about that? Maybe you could size it up in terms of what your breakfast mix is or what the breakfast margin is? Just the risk that the consumer doesn't come back, where are you most vulnerable?
Leonard A. Comma - Chairman & Chief Executive Officer: Yeah. Good question. And it gives me opportunity to talk about the day parts. So breakfast and lunch day parts were down slightly but dinner, snack and late night were all up. And so, when we look at this and sort of put into context what our major competitor is doing with breakfast all day and we look at the impact of that as compared to our own rollover of breakfast promotions year-over-year in quarter one, we're more concerned with the rollover of our own breakfast promotion, which primarily impacted our breakfast day part. So when we put in context what the impact would be, we think that we can isolate breakfast to being something that we owned the results for Q1. We chose not to discount heavily and as a result we did a poor job of rolling over the success we saw in Q1 of last year. We don't attribute that to the competitive activity. When we look at lunch, particularly from the 10:30 to noon timeframe, that's really the impact of the competitive activity on breakfast all day, and there are multiple ways that we would approach that. One is when we offer breakfast promotions, as well as any other promotion on our menu those things are available all day, regardless of whether they are breakfast or lunch/dinner items. As compared to the competitors who are doing a breakfast all day type promotion, but you cannot get their other lunch and dinner products at breakfast. So some of the ways that we combat this is that when we put things out there, we're able to get a fair share of sales outside of any day part with nontraditional items because they're offered 24/7.
Jeffrey A. Bernstein - Barclays Capital, Inc.: Understood. Thank you.
Operator: Thank you, sir. Next question on queue is coming from the line of Mr. Alex Slagle. Your line is open. You may begin.
Alexander Russell Slagle - Jefferies LLC: Thanks. I was wondering if you could talk to the magnitude of the impact on Jack in the Box same-store sales in the first quarter and in the first four weeks of the second quarter from the three factors listed on the press release. And to what degree any of these headwinds diminished during the second quarter?
Leonard A. Comma - Chairman & Chief Executive Officer: Well I think let me just speak in general about what's happening with the competitive space on discounting. We do see that some of the major competitors are rolling off of some of the heavily discounted, low-margin promotions that they've had out there. And they're going to bigger bundles that are a little more attractive from the margin perspective. We're happy to see that that is much more in alignment with the types of things we put out in the marketplace, and we think we can compete well there. We don't think the heavy discounting of low-margin items is sustainable. Although, we took the hit in Q1, strategically even if we were to combat that going forward, it wouldn't be by copying the types of offers that they're doing. It'll be bundling high-quality food at a very competitive price point. And then when you look at our promotional calendar, it did have a lot of mismatches really up until this timeframe that going forward we don't think will be or have the magnitude of impact that it's had so far. So we think we're not going to run into that type of situation. And then as far as the breakfast all day, I just spoke to that on the last question, but I think the most important thing that folks need to understand is that we look at the rollovers of our prior year promotions as the leading factor to our sales performance in Q1. And we look at the heavy discounting and the breakfast all day is really secondary to that. Those are things that we do have a lot of confidence that we can combat directly.
Alexander Russell Slagle - Jefferies LLC: Got it. Thanks. And a follow-up on the Super Bowl, if you could kind of talk to the magnitude, the impact on that related to the shift in timing for the Super Bowl this year versus last year and the TV media support?
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: I'll just say, Alex because the Super Bowl was a week later our promotion is a week later than the Buttery Jack. So our first four weeks of this period have only one week of the burger launch with media behind it, whereas last year's quarter that we've been talking about had two weeks out of the four weeks.
Alexander Russell Slagle - Jefferies LLC: Okay. Thanks.
Operator: Thank you, sir. Next question on queue is coming from line of Mr. Keith Siegner. Your line's open, you may begin.
Keith R. Siegner - UBS Securities LLC: Thank you. I want to ask a question about the Million Burger Giveaway. And Lenny, you discussed how one of the main purposes of this was to get some trial going so people could get the taste of that new burger in their heads. What about the opportunity to acquire customer data? You know it seems like the other silver lining of this is you get this data. Maybe now you can use it as a marketing tool. Are you happy with the customer data you got through that? I mean, I just ask because I live in Connecticut and I got the burger discount by only giving my phone number, which surprised me a little bit. Are you happy with the customer data you acquired?
Leonard A. Comma - Chairman & Chief Executive Officer: Yes, we are. And obviously, the consumers had a choice to take it the easy way or give us more information. But we collected quite a bit of information which we think will be extremely valuable to us going forward. And that was one of the reasons why we set this thing up this way so that we did have an opportunity to collect that data.
Keith R. Siegner - UBS Securities LLC: And then just a question on Qdoba, quickly if I may. The quarter obviously very good two-year trends improved. But it came at some expense. You talked about advertising and launch supporting that trend. The guidance for next quarter is a little bit of a decel and you know the product launch is still there but we're going to back off a lot of the advertising and launch expenses. How much of last quarter's success do you attribute to the product launch itself, meaning the advertising spend, etcetera versus the product itself? Like, how do we think about those trends as the year progresses? Thanks.
Leonard A. Comma - Chairman & Chief Executive Officer: Yeah. So, I think, one thing to recognize is that Qdoba, even though we ramp up and advertising spend Qdoba is still a pretty small weight as compared to what some of the major competitors do in the advertising space. So from our standpoint it's, and we have seen this pretty clearly in the past, if the food doesn't ring true we don't see the results. And so we feel pretty confident when we see the results because we don't look at the advertising as the driver. The primary driver is the food itself. So from that standpoint it gives us a lot of confidence that we now have a whole new line of products that can help carry us throughout the remainder of the year and it's not just the one-time sort of flash in one particular quarter.
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: And then, Keith, we won't tell you what the mix is for competitive reasons, but we were very happy with the mix of the Knockout Tacos. And if memory serves correct, it was better than what the test was.
Keith R. Siegner - UBS Securities LLC: Okay. Thank you.
Operator: Thank you, sir. Next question on queue is coming from the line of Mr. Jeff Farmer. Your line is open. You may begin.
Jeff D. Farmer - Wells Fargo Securities LLC: Thank you. It was touched on, but given what could be a greater level of free cash flow with that 90% franchise mix, do you expect your two to three times leverage target to move higher as well?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: That's a great question and we plan on addressing that at the May Investor and Analyst Day meeting. But at this point in time, we haven't assessed that yet, Jeff.
Jeff D. Farmer - Wells Fargo Securities LLC: Okay. I'll take that and then just one more. A lot of G&A questions, but I'll offer one more. So just further drilling down along the G&A line I'm sure we could find it in the filings, but what was the G&A component of your SG&A number in 2015? And what does your target for reducing that G&A number to 3% of system sales imply on a pro forma basis? And I know it's going to be a ballpark number, but anything would be helpful.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: So here's what I'll say, Jeff. The G&A dollars last year ex-advertising were $161 million, and G&A as a percent of system-wide sales was 3.9% last year.
Jeff D. Farmer - Wells Fargo Securities LLC: Okay.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: So it depends on obviously what your system-wide sales assumptions are but as Jerry said every $4.4 million of reduction is about $0.08 per share as we go forward.
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: And first quarter we did get some pension reduction coming into 2016 that we didn't have the benefit of last year. So I think we're currently tracking in the 3.6 range right now as far as G&A as a percent of system-wide sales for Q1.
Jeff D. Farmer - Wells Fargo Securities LLC: Okay. Thank you.
Operator: Thank you, sir. Next question on queue; this one is coming from the line of Mr. Bob Derrington. Your line is open. You may begin.
Bob M. Derrington - Telsey Advisory Group LLC: Yeah. Thank you. My question, Lenny, is around Qdoba. Directionally, I guess over the last two or three years it seems like development of the brand is a little bit slower than what had been talked about I guess several years ago. I'm just wondering as you look at the business can you give us any kind of an update on your enthusiasm around the brand, particularly as it certainly seems that some of the new elements of the concept look to be very attractive from a consumer standpoint, but likely also increase the investment in the box. Can you give us a little bit of color on how you feel about that? And directionally, will we see development begin to pick up in future years? Or how should we think about that?
Leonard A. Comma - Chairman & Chief Executive Officer: I'll answer the last part of your question first. Yeah, we do expect development to pick up in future years. The things that we've learned are basically as follows. One, we need to look at development – or remodels, and putting these new elements in play in existing markets, different from how we would approach it in completely new markets. And that's really the thing that we need to work out to get to the place where we can accelerate new unit growth. So I'll give you a little more specifics on that. In the existing market, the focus is primarily going to be food, within what is an existing platform for service. And also, in the existing markets, there are some limitations about how much we'd want to invest in those existing boxes to change the image. But we need to do enough for them to be noticed. When we get to new markets, part of the reason for the delay is we're testing some things that are far from what we do today in existing markets. And I think our initial impression on the change, or the amount of change, or the magnitude of change, was that it was going to be a little bit less. I don't want to give away the things that we're doing, but we do have franchisees and company locations doing some things that are a far cry from the way we approached our existing businesses. And those are where we think the biggest opportunities are going to come from for growth in new markets. But we do have to test those things out. So that's sort of the stage we're in. I think when we get into the May meeting we'll be able to share with folks more details on those things that we're testing and how they're working out so far. And that I think will show everyone why we're enthusiastic, and confident in our ability to grow. But the way that I would tell you to internalize it now is – if the magnitude of change, on a scale of 1 to 10, was initially thought to be a 3 or 4. We're looking at more of a 7 or 8 now in the way we might approach the changes in new markets to accelerate new growth.
Bob M. Derrington - Telsey Advisory Group LLC: One follow-up on that, if I may. As we look at the concept itself, originally, I think the discussion was around 50/50 company and franchise. Do you anticipate a change in that event, more towards franchise possibly?
Leonard A. Comma - Chairman & Chief Executive Officer: We're going to evaluate that over the next couple of months and we'll give you an update on that in May.
Bob M. Derrington - Telsey Advisory Group LLC: Terrific. Thank you.
Operator: Thank you, sir. The next question on queue. This one is coming from the line of Mr. Matthew DiFrisco. Your line is open. You may begin.
Matthew DiFrisco - Guggenheim Securities LLC: Thank you. I wonder if you could talk a little bit about any of the regional disparities that you might have seen between your two biggest states, California and Texas? Some of the data suggests that California was one of the stronger areas. So I think you're coming in a little shy. And then also your quarter-to-date guidance was a little bit of more than a surprise to us, considering what California was trending at. When you mention the industry and the gap versus the industry, I'm assuming the industry number that you're referring to is a national number and not just purely the regional. And then is there anything to read into that that those regions are impacting you versus that national average? Thank you.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: I'll take the last one, Matt. So the data we are comparing to in the press release is the NPD QSR sandwich segment, which is the entire nation. And that's our historical number that we've continued to report on that front.
Leonard A. Comma - Chairman & Chief Executive Officer: So, Matt, just something to think about here. We're 82% franchise, but the number that we guide to is company operations. So first, we're lapping 10% number on the company side currently. And when you look at it through the lens of the question you asked, really the way I interpret it is how healthy is the brand both regionally and across all of our markets. And I think when you look at what we're achieving in the biggest part of our business, which is franchise today, which does span across all the markets, it gives us a reason to be confident in the plans that we've put in play. So some of the higher volume sites that we run on the company side struggled to roll over some of the aggressive promotions more so than in our franchise markets. But franchise was up 1.8%. So I think that's probably a better indication seeing that it's the lion's share of our restaurants of how we're doing across the markets and maybe that helps to give you some confidence in how the brand is resonating with the guests.
Matthew DiFrisco - Guggenheim Securities LLC: Well, really what I'm asking is the industry is implied to be over 3% and even the franchisees did 1.8%. So you're on a national basis that would imply to be losing share. I'm wondering, are we missing the point, though, are we comparing apples to apples? Is Texas and California in your SKU there, is the industry growing in line with the national average so you are losing share, or is the industry not growing at that pace in those regions so perhaps your share losses on a like-to-like basis by region might not be as bad as the national average. That's what I'm trying to decipher.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Right. So here's what I'd say, Matt. NPD does not give us the regional data like Knapp-Track or some of the other indexes do. We only have it in total for the 16 brands, so I don't know how our regional results compare to those.
Matthew DiFrisco - Guggenheim Securities LLC: Do you have anything that would tell you that you're not being hurt, that it's not brand specific but it's just the category or your peers within that Texas or California regions are feeling that same trend?
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Here's what I'd say. We outperformed the industry for eight plus quarters by a pretty significant amount. This was obviously the first quarter we've underperformed in quite a while for all the factors that we've talked about, the aggressive discounting, our own promotional rollovers. And obviously we do have a higher breakfast mix than some of our other competitors out there.
Matthew DiFrisco - Guggenheim Securities LLC: That's helpful. Thank you.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Next question?
Operator: Thank you, ma'am. Next question on queue coming from the line of Nick Setyan. Your line is open. You may begin.
Nick Setyan - Wedbush Securities, Inc.: Thanks for taking my question. You guys mentioned a $6 delta in that last week with the burger giveaway. I guess we can do some approximations to what that means. But can you just tell us, it would be really helpful, what that impact was in the context of that negative 3% in the first four weeks in Jack? If you would have backed that out, what would the comp be in the quarter-to-date period for Jack?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: So here's what I can tell you. I really didn't want to tell you this because you don't know when people come in with the free coupon whether they were going to come there or not. You don't know whether this is incremental or not incremental. So having said that, so I do not know if this is incremental or not incremental, but if the people who came in were buying a normal, average check type of a purchase, sales would have been 4.9% better. But, again, let me just caveat that. I don't know how much of these are incremental or they're just traits. So I'm not sure if what I just told you was very useful, but it's the data that we have.
Nick Setyan - Wedbush Securities, Inc.: What if we just take out that whole week in terms of the comparison from last year and this year?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: And the other thing is we have the week mismatch also, Nick. But here's what I would say is part of the reason that we went to a wider range of guidance from a typical 1-point or 2-point range of a quarterly guidance to a 3-point range on a quarterly guidance including the down 3 points, is reflective of that week, which we know had impact because we were giving burgers away.
Nick Setyan - Wedbush Securities, Inc.: Got it. Okay. Then switching on Qdoba. Your competitor is going to get a lot more competitive here to try to get some of that share back that they lost presumably. So I guess we have the easier comparisons going forward on Qdoba and we are doing flat on a 14% comparison here quarter-to-date. But what's your thinking around all the different moving parts? You've got the easier comparisons. You've got a more competitive competitor. Perhaps you're opening out more stores, so there's some more cannibalization. You've got some remodels that potentially could benefit the second half if the timing is right. Can you just maybe walk through some of the different drivers, the puts and takes of the Qdoba comp for the rest of the year?
Leonard A. Comma - Chairman & Chief Executive Officer: So a couple things to think about. When Chipotle ran into some of their difficulties, we didn't see an immediate change in our sales that would tell us that there was a direct impact. And I think we shared that in previous communications. And then more recently as they've gotten more aggressive in the marketplace, we also didn't see an impact that would tell us that that is having a direct impact. Now, I'm sure there is some impact, but it's not to the degree that we are seeing a huge shift in our sales trends. So I would say that the risks to our comps going forward would be some aggressive activity that we didn't foresee that did start to have an impact. And obviously we can't predict that, but what we can do is have our own aggressive promotions in the marketplace which is what we have set up, anticipating that there would be this type of activity from our major competitor. And we hope that, that would cancel out any type of impact that we might see. So that's probably the best we can do is anticipate it, plan and put those promotions in place. But we do have some confidence based on current trends that we're not seeing an immediate shift in our own sales trends. And then the other risk factor I think for Qdoba is always weather because we do run into more severe weather in the markets where Qdoba is dominant so there can be some week mismatches sometimes caused by weather. We don't talk about that very often. We know it's there, so it is a risk factor. But all-in-all, we're feeling good about our trends.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Operator I think we have time for one more question.
Operator: Yes, ma'am. We have a question on queue coming from the line of Mr. Jake Bartlett. Your line is open. You may begin.
Jake Bartlett - SunTrust Robinson Humphrey, Inc.: Great. Thanks for taking the question. A real quick clarification on the pace or the timing of the refranchising. You mentioned over the next couple years but it was unclear to me whether that included 2016. Is this really a 2017 and 2018 program or initiative?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: Yeah. So it's, first of all the two years is two years from today. And presumably there could be some activity in 2016. I don't know if there will be or not. We'll know more about that for the May conversation, but at this point in time I can't answer the question any better than to say it'll be within two years.
Jake Bartlett - SunTrust Robinson Humphrey, Inc.: Okay. So it sounds like the – I mean, it doesn't look like the refranchising here are impacting your 2016 guidance in terms of restaurant-level margins, or even G&A. As we model this, should we put any in 2016? Is that what your guidance is contemplating or not?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: No. None of the refranchising or the G&A reductions are in the guidance. I would say that these are our targets that we felt were meaningful and substantial enough that we wanted to communicate them to the investing public. However, we don't have enough detail of the impact of these to put them in guidance at this point in time, either on the refranchising or on the G&A. But again, we thought they were material enough . We wanted people to know since we had made decisions to move in that direction.
Jake Bartlett - SunTrust Robinson Humphrey, Inc.: Got it. And a real quick question on Qdoba. I was also trying to see the negative mix. I know you're lapping big mix last year, but I believe that the Knockout Tacos should have been accretive to the mix is my impression. What are the moving pieces that drove that mix? Was it discounting, or couponing, or something else that drove that negative mix and what should we expect going forward?
Jerry P. Rebel - Executive Vice President and Chief Financial Officer: Yeah, so, a couple things. One is the mix last year was up 9.8%. So on a two-year basis, we're still up 9%. So I think that probably had the biggest impact. There was some level of trial to get the Knockout Tacos in people's mouths also, which had a little bit of an impact on the food cost. We saw a modest increase in discounting, but I'll emphasize the word modest again. And the other thing that we're seeing is that – which we really view as a good thing because it is a competitive advantage, is we are seeing a greater take rate on consumers adding the guac and the queso to their order, which is hurting the overall mix a bit because we're not getting credit for that sale piece that you normally would if they were ordering that separately. But we're happy to take that, because that's exactly what we wanted to have happen with us offering that as part of the pricing structure that we have.
Jake Bartlett - SunTrust Robinson Humphrey, Inc.: Great. Thanks a lot.
Carol A. DiRaimo - VP-Investor Relations & Corporate Communications: Operator, I think that's all the time we have today. Thanks to everyone for joining us on the call.
Operator: Thank you, ma'am. And that will conclude today's conference. Thank you for participating. You may now disconnect.